Operator: Ladies and gentlemen, thank you for standing by. Good morning and welcome to the AYRO, Inc. Fourth Quarter and Year-End 2020 Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the internet and is also being recorded for playback purposes. A webcast replay of the call will be available approximately one hour after the end of the call through June 30, 2021. I would now like to turn the call over to Scott Gordon of CORE IR, the Company’s Investor Relations firm. Please go ahead, sir.
Scott Gordon: Thank you, Andrew. Good morning. And thank you for participating in today’s conference call. Joining me from AYRO’s leadership team are Rod Keller, President and Chief Executive Officer; and Curt Smith, Chief Financial Officer. During this call, management will be making forward-looking statements, including statements that address AYRO’s expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the risk factors described in AYRO’s most recently filed periodic reports on Form 10-K filed with the SEC later on today and AYRO’s press release that accompanies this call, particularly the cautionary statements in it. Today’s conference call includes adjusted EBITDA, a non-GAAP financial measure, that AYRO believes can be useful in evaluating its performance. You should not consider this additional information in isolation or as a substitute for results prepared in accordance with GAAP. For a reconciliation of this non-GAAP financial measure to net loss its most directly comparable GAAP financial measure please see the reconciliation table located in AYRO’s earnings release, which is available on our website at www.ayro.com under the Investors tab. The content of this call contains time sensitive information that is accurate only as of today, March 31, 2021. Except as required by law AYRO disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. It is now my pleasure to turn the call over to the CEO, Rod Keller. Rod, please go ahead.
Rod Keller: Thank you, Scott, and good morning to everyone on the call. I am pleased to be able to recap 2020 and reiterate our strategy and path forward in our drive to become the leader in purpose-built commercial electric vehicles, or as we call them EVs. The fourth quarter of 2020 marked the fifth consecutive quarter of quarter-over-quarter revenue growth and helped our revenue for all of fiscal 2020 increase 80% year-over-year to $1.6 million. This accomplishment was a great way to end a fantastic year at AYRO. Our merger with DropCar was completed in May of 2020, and we began trading on the NASDAQ at that time with the focus on designing and manufacturing purpose-built EVs for the commercial market. Since the merger, we raised just under $40 million in gross proceeds from various equity financing in 2020, along with an additional $61.8 million in the first two months of 2021. We are well-capitalized now and have essentially zero debt, which will allow us to focus on strategy execution and growing our business. Along the way, we’ve developed strategic partnerships with best of breed established entities to help us build an ecosystem around our EV offerings, namely the 411 and the 411x family of light-duty commercial trucks. The strategic partnerships are imperative as we progress through the development of our next generation three wheeled vehicle in the last-mile delivery space. And I think it’s also important to remember that we are a B2B company, business-to-business, not a business-to-consumer company. These are important concepts at the heart of our corporate strategy that we believe distinguish us from other EV manufacturers. We’re looking at the bigger picture, which we believe sets us apart from competing EV companies, and we feel that ultimately, this is a key competitive advantage in our favor that will pay off handsomely with commercial customers. We have strategic partnerships for distribution with Club Car for our 411 vehicles through its hundreds of commercial dealerships. And Club Car’s well-recognized in the industry and provides immediate access to the campus and sports arena markets. We also have a relationship with Gallery Carts who has built the mobile food solution for point of demand hospitality markets on the chassis of our 411 vehicle, providing another commercial opportunity for AYRO whereby Gallery Carts makes the sale. We recently announced a strategic agreement with Element Fleet Management, the world’s largest automotive fleet manager with over 1 million vehicles under management and over 5,500 clients. Element agreed to provide sales and financing solutions for AYRO’s next generation three wheeled vehicle, as well as the current 411. And as big a market as we believe restaurant delivery is, experts forecast it could reach $169 billion by 2025. Element’s proven history in the fleet management space is a key component to our success moving forward in the delivery of these fleets. Now, if you want to sell more than one vehicle at a time, it takes a sales team. However, in this case, we have not just one, not just two but three different sales teams in Club Car, Gallery Carts and Element, each for a different segment of the commercial market, but each well entrenched in their respective niches with proven success in reaching commercial customers and with a national footprint. We do not believe our competitors in the EV sector have this kind of sales infrastructure with proven partners like these. Our relationship with Element also addresses many other concerns commercial customers may have when evaluating a potential fleet of EVs. For instance, sometimes it’s difficult to obtain insurance for an EV. So, imagine of wanting a fleet of EVs and the difficulty it may be to obtain that. What about handling maintenance, repairs for EVs or storing and charging EVs and the end-of-life resale or upgrades? How will those matters be handled? This is where having Element in our ecosystem is a key competitive advantage for us is they have solutions for these issues facing commercial customers and are incentivized in the relationship to identify and close on sales or lease transactions with commercial customers. Also, let’s not forget about our strategic partnership with Karma Automotive, which is targeting the production of 20,000 light-duty trucks over a three-year period. Karma’s location in Southern California also allows us to improve our logistics and ship our EV components from the port of Shanghai to Long Beach, instead of all the way to Houston, reducing the transit time from 33 days to 17 days and dramatically reducing the required working capital we need. Moreover, Wanxiang Group, a Chinese automotive component supplier and the owner of Karma Automotive was the lead investor to its investment arm in our 10 million equity offering in November of last year. Thus Karma has some equity skin in the game and has its incentives more closely aligned with ours, which is always helpful in a strategic relationship. In addition, Wanxiang Group, the owner of Karma, also owns A123 Systems, which is a leading developer of EV battery solutions and a supplier to automotive manufacturers worldwide. Now, it’s one thing to design an attractive car, but being able to manufacture, sell and service it at scale and cost efficiently is much easier said than done. And we feel this is our competitive advantage, which will be more readily seen as our volumes increase. So, as one connects the dots within our ecosystem, it becomes apparent that these relationships will position us to leverage the strengths of each of our partners, again, a best of breed approach to bring our commercial EV solutions to market much faster and cost effectively. Another benefit of having established industry partners in our ecosystem is the speed that we can collectively adapt to new customer demands in the marketplace. I’m specifically referring to our announced launch of the industry first electric vaccination vehicle or EVV. It’s a joint effort between us, Element, Club Car, and Gallery Carts to develop a compact, zero emissions vehicle that helps make vaccinations more accessible. The EVV was designed with the immediate purpose of helping deliver COVID-19 vaccines, but is adaptable for future healthcare needs or applications. On March 8th this year, we announced the six-city joint roadshow event with Element, Gallery Carts and Club Car. And the reception we received during our multi-city road shows across the country has been encouraging. And we’re collectively optimistic that we are generating meaningful interest from such a market need. However, I think, it’s important to recognize, the longer sales cycles involved with such an initiative, given we’re in discussions with hospitals and local, state and federal governments, they simply require more time to reach these agreements. And with that, I’ll now turn the call over to Curt Smith, our CFO, will review our financial results. Curt?
Curt Smith: Thank you, Rod, and good morning, everyone. Here’s a summary of our fiscal year 2020 financial results. Revenue for the year ended December 31, 2020 grew 80%, $1,604,000, up from $890,000 for the year ended December 31, 2019. The increased revenue was primarily due to sales of our cars with Club Car, the related powered food box [ph] sales and other vehicle options. Gross margin percentage for the year ended December 31, 2020 was a negative 10.4% versus 22.3% for the year ended December 31, 2019. The decrease in gross margin percentage was primarily due to the one-time sale of our remaining inventory of our original AYRO 311 vehicle as we progress with the development or next generation three wheeled vehicle, the 311x. The transaction generated $117,000 in revenue with a negative impact to gross profit of $259,000. This resulted in a 16.6% negative impact on our overall margin percentage and an overall loss on the transaction of $208,000. Additionally standard costs increased as we progressed through 2020, and increase in tariffs for raw materials imported from China, and increase in shipping costs due to the global COVID-19 pandemic and increased allocated overhead costs resulting from the move to the Company’s new facility in January 2020. To offset the standard cost increases, the Company has increased its average selling prices of its vehicles in January of 2021. Now, to operating expenses. Total operating expenses for the year ended December 31, 2020 increased 14% to $9,940,000. That’s up from $8,693,000 for the year ended December 31, 2019. Increased total operating expenses were primarily due to an increase in research and development spending, which rose from $714,002 in 2019 period to $1,921,000 in the 2020 period. These higher R&D expenses were related to the higher personnel costs for our engineering, design and research teams as we expanded the suite of option packages for our vehicles and initiated development of our next generation three wheeled vehicle. Sales and marketing expense for the year ended 2020 were $1,415,000, an increase of $115,000 over 2019. The increase in personnel costs following the merger was partially offset by a reduction in contracting of external marketing firms and a reduction in discretionary marketing programs as we brought more focus on targeted marketing initiatives in-house. General and administrative expenses decreased in 2020 by $74,000 from 2019. In 2019, the Company reported stock issuances classified as non-cash stock-based compensation to two former directors of private AYRO of $2,907,000, which is not repeated in 2020. The reduction was offset by increases in $168,000 of personnel costs as we added additional headcount, $1,118,000 of payments to service providers, 146,000 of filing fees and additional insurance, all to support the public company reporting requirements, as well as $227,000 in director compensation payments and an increase in stock-based compensation for the existing Board and employees of $1,174,000 as a non-cash expense. In 2020, we recorded other income from the SBA sponsored forgiveness of the Paycheck Protection Program loans and accrued interest of $209,000. Additionally, in other expenses, we reported $236,000 of amortization of discount of debt as a component of interest expense and a loss on the extinguishment of debt of $567,000 as the underlying notes were paid off prior to maturities. Net loss attributable to common stockholders for the year ended December 31, 2020 was $11.2 million on a GAAP basis versus a loss of $8.67 million for fiscal 2019. The aforementioned increase in R&D expense, lower gross profit, higher interest expense and a loss on extinguishment of debt, largely drove the increase in net loss for fiscal 2020 over that of fiscal 2019. Our GAAP net loss per share for fiscal 2020 was a negative $0.73 per share versus a negative $2.95 per share in fiscal 2019. The weighted average number of shares outstanding was approximately 15.3 million shares in fiscal 2020 as compared to 2.9 million shares in fiscal 2019. Adjusted EBITDA, a non-GAAP measure, was negative $7.8 million for the year ended December 31, 2020 versus negative $4.4 million for the year ended December 31, 2019. Adjusted EBITDA for fiscal 2020 reflects adjustments of $447,000 in depreciation and amortization, $1.83 million in stock-based compensation, $236,000 in amortization of discount on debt, $91,000 in interest expense, $567,000 in loss on extinguishment of debt discount, and this is offset by a $219,000 in gain on the debt forgiveness tied to our payment protection plan program loan or the PPP loan. As Rod alluded to in his prepared remarks, we closed on our registered direct offering -- one registered direct offering since our third quarter 2020 earnings report in early November 2020. On November 23rd of 2020, we closed an offering to raise $10 million in gross proceeds and that was led by Carnegie Hudson Resources, an investment arm of Wanxiang America, along with several existing institutional investors. A total of 1,650,165 shares of the Company’s common stock were sold at $6.06 per share. 1,237,624 Series A warrants were issued with an exercise price of $8.09 per share that were exercisable immediately and terminate six months after issuance date. A total of 825,083 Series B warrants were also issued with an exercise price of $8.91 per share. They were exercisable immediately and terminate five years after the issuance date. Post December 31, 2020, on January 26, 2021, we closed an offering to raise $20 million in gross proceeds from two existing institutional investors. A total of $3,333,334 shares of the Company’s common stock were issued at $6 per share and warrants were issued to acquire 3,333,334 million shares of common stock at $6.93 per share. These are exercisable six months after closing and terminating 2.5 years after the issuance date. On February 15, 2021, we closed an offering to raise $41.8 million in gross proceeds from several existing institutional and accredited investors. A total of 4,400,001 share of the Company’s common stock were issued at $9.50 per share. Additionally, the investors were granted an option to purchase 3,300,001 share of common stock at $11.50 per share until the one-year anniversary of the offering’s closing date. Turning to the balance sheet. AYRO’s financial condition is strong with cash at December 31, 2020 of approximately $36.5 million, which represents a $35.9 million increase as compared to the $642,000 at December 31, 2019. The difference is based primarily on the cash received as a result with the merger of DropCar in May of 2020, the registered direct offerings of June 19, 2020, June 8 -- July 8, 2020, July 23, 2020 and November 24, 2020, as well as the exercise of warrants tied to merger financing. Furthermore in 2021, the Company raised an additional $61.8 million in gross proceeds from two registered direct offerings as just mentioned. Our total debt at December 31, 2020 was $22,000 versus $1,325,000 at December 31, 2019. As of December 31, 2020, the Company had 27,088,584 common shares outstanding. Our capital expenditures totaled $504,000 in fiscal 2020, which comprised mostly of investments in R&D equipment. Accounts receivables were $766,000 at December 31, 2020, up from $71,000 at December 31, 2019. Accounts payable was $767,000 at December 31, 2020, slightly down from $772,000 at December 31, 2019. Working capital at December 31, 2020 was $38.5 million as compared with the negative $395,000 at December 31, 2019. All of these financial results I’ve discussed with you can be found on our 10-K, which we’ll file later on today. That concludes my prepared remarks. And I’d like to turn the call back over to Rod for any remaining remarks. Rod?
Rod Keller: Thank you, Curt. I’d like to take a second to sincerely thank all of our employees who’ve shown their commitment and dedication in helping build the foundation of AYRO. Obviously 2020 was a tough year for many people in more ways than one due to the COVID-19 pandemic. But despite that our team at AYRO showed really true character and resolve and going the extra mile to help keep our strategy intact and on track. I’d also like to sincerely thank all of our shareholders for their support. And I look forward to sharing additional accomplishments and developments as they unfold. And again, I can’t emphasize how pleased we are. We are very, very well capitalized. I don’t expect to do another raise in the near future, and it’ll allow us to focus on executing our strategy and growing our business. So, with that, I’d like to turn the call over to the operator, so that we can begin the question-and-answer session. Operator?
Operator: [Operator Instruction] The first question comes from Matthew Polishak, [ph] a private investor. Please go ahead.
Unidentified Analyst: Hi, Rod. I got two questions actually. One, what is the current headcount of the AYRO employees? And secondly, what is the expected production of vehicles for this March? Thank you.
Rod Keller: So, let me answer, Matthew. We have -- Curt, you can answer more correctly. I’m going to talk about contractors as well. What’s the full-time employees we have now? 
Curt Smith: Yes. We have 26 full-time employees. And then, you want to talk about the contractors?
Rod Keller: Yes. One of the things we do, Matthew, which I think is a unique and very efficient approach is, as we work on the development of our next generation vehicles, we have a Head of Engineering who has a broad network of subject matter experts across a lot of different engineering disciplines. So, they’re not full-time employees, but we pull them in, use them as needed. So, we’re only paying for the time that we need them, rather than the full time expense that we have. But 26 full time and a fairly decent number, I would say as many contractors working on next generation development of our three wheeled vehicle right now. And I’ll have to defer to my CFO. If you ask how many units we shipped in March I know -- we can’t give that guidance yet because we haven’t -- I believe that’s correct, right?
Curt Smith: That’s correct. We’ll be releasing that when we release our first quarter 10-Q further in May. So, we’re not in a position to be able to discuss that at this point.
Rod Keller: Yes. I think, Matthew, as I mentioned though, in my comments though, we were pleased that the fourth quarter of last year represented the fifth consecutive quarter of quarter-over-quarter growth. So, we’re working hard to try to continue that track.
Operator: Was there a follow-up, Polishak?
Unidentified Analyst: No. Thank you.
Operator: [Operator Instructions] Excuse me, I see that we do have a question from [indiscernible], a private investor. Please go ahead.
Unidentified Analyst: Yes. That’s correct. This is [indiscernible] from Berlin Germany. I recently moved to Germany. And I’m follower of AYRO, a follower of EV sector altogether. Question is, on one of those last month’s video interviews, Rod, you have mentioned the new generation of batteries coming up, that would double approximately the length of the distance for the vehicles. Could you elaborate a little bit more about it? And I want to thank you very much for your great efforts.
Rod Keller: Yes. So to-date, the light-duty electric truck, the 411 that we sell is, we refer to it as VRLA, it’s a lead acid battery, but much like a maintenance-free marine battery. And because it’s a lead acid battery, it has a maximum range of right around 50 miles before you need to charge. What we’re moving to -- and we’ll be moving to in the next 30 days. Remember, we sell this exclusively today through Club Car, it’s a next generation 411 that will still have VRLA, but it will also have an option of having a lithium ion battery. And that will increase its range from 50 miles to as many -- to as much as 90 to 95 miles. So, the other advantage of that is it also will reduce the charging time from six to eight hours for a VRLA battery to anywhere between three and four to fully charge a new set of lithium battery. So, you get more range and faster charging time with our next generation vehicle and these lithium ion batteries in there.
Unidentified Analyst: Thank you very much.
Operator: [Operator Instructions] And I do see we have an additional question from Xavier Peralez, [ph] a retail investor. Please go ahead.
Unidentified Analyst: Yes. I got two questions, one from an engineering perspective. Where are you focusing on? For example, are you focusing on trying to improve the structure of the vehicle or more on the actual electric motors or where’s your focus? And then, number two, what would you say is a gating factor for growth? Like, when we think about Tesla, they talk a lot about the availability of batteries. But, in the case of AYRO, I wonder if you had a different sort of challenges?
Rod Keller: What was the second question, Xavier, what are we doing about growth? I missed that part.
Unidentified Analyst: No. What’s the limiting factor to growth? What is actually holding you back from expanding at this point in time? And I was saying that in the case of Tesla, the availability of batteries is their limiting factor. They have to wait for that to be available to grow more. What is the situation for you?
Rod Keller: I mean, if you’re referring the range anxiety that people have, because the range is not what people would prefer when compared to internal combustion engines. But, that’s not an issue for us and I’ll tell you why. If you remember, we focus exclusively on commercial applications for last-mile delivery, neighborhood urban delivery. So, the applications and customers we focus on typically don’t drive more than 80 miles in a day. From an engineering perspective, if there’s such a thing as a silver lining of COVID-19, it was the acceleration of delivery versus in-dining or in-store dining in restaurants. And as a result of that we’re seeing a huge increase in the demand for vehicles who can help restaurants reduce their operating expense of deliver, because many people may not be aware of this, but the aggregators like Grubhub, DoorDash, Uber Eats, they keep as much as 30% of the total cost of a delivery. So, on a $30 order, aggregators are keeping as much as 10%. Well, when delivery only made up 10% of your business, restaurants could live with that. But, with delivery now being as much as 50% of your business, it’s compressing their margins so much. So, they’re moving very rapidly to try to find a way to reduce their operating expense and their dependence on these aggregators. And rather than building general purpose vehicle and try to it into a delivery vehicle, we take a very different approach. We understand the market, we work with some of the largest quick service chains in the country, and we build a very specific foodservice delivery vehicle. In fact, our Head of Sales likes to say, we don’t build vehicles to deliver food, we build food delivery vehicles. So, from an engineering perspective, that’s why we like to say, we build purpose-built vehicles for a specific application. We don’t build a vehicle and then try to find an application for it. So, understand, and I’ve read all about it. And if you look at Porsche’s new high-end car, it only has a 200-mile range. So, there’s a lot of range anxiety out there, but that’s for consumer vehicles, not as much for the applications we target.
Unidentified Analyst: Okay. Can I do a follow-up?
Rod Keller: Sure.
Unidentified Analyst: So, I was more focused on, right now, you could have a significant demand, but you’re not able to produce a 100,000 vehicles. There’s something that limits your growth today. What is that factor? Is it the fact that you still need to look at the whole ecosystem before you expand, or is it because you want to go slow, just testing the vehicles? What is limiting your growth today?
Rod Keller: Good. That’s a great question. And let me paint that -- let me give you a very direct answer on that. A little over two years ago, we had a concept vehicle three wheeled electric vehicle. We tested it with a decent sized restaurant chain here in Austin, and they loved it. It reduced our operating expense by as much as 49%, but it was missing four key features. It only had a 50-mile range. If you’re going to drive it in the south in the summer, it had no air conditioning; it had no windows. And yet remember, we were a private company until May 28th of last year. So, we learned what the deficient suites we had in this first vehicle. And when we closed on May 28th, as Curt mentioned, our first financing was for $5.5 million last June. And then we raised $15 million and another $9.25 million in July and then another $10 million in the fall and then $61.8 million in the first quarter of this year. So, the limitation was, we didn’t have the funding to go develop the next vehicle. So, in September, actually in late July of this year or last year rather, the Board approved us to go off and conduct what we call a sprint project. And what came of that was a very, very clear understanding of what was needed in the market. And we’ve been working around the clock to develop our next generation vehicle, specifically for last-mile delivery, restaurant delivery. And we’re working with some of the largest quick service restaurants, which likely will be our first customers. But, the speed at which we’re developing this is far faster than the speed at which you would see a new vehicle come out of one of the big automobile manufacturers. So, there’s not a limitation right now. But remember, again, we had no capital to go do this before last summer. So, we will have a vehicle in 2022, which means we’re going to start from the summer of 2020, and in less than two years later, have a vehicle in the market that I think will address, hate to call it a niche, because it’s a very, very, very large market. I mentioned $169 billion market by 2025. And we don’t expect a delivery. We’ll go back to the mix of delivery versus in-store or in-restaurant dining than it was before COVID, we expect it’ll still be a very large market. And I don’t think anybody’s taking the approach that we are in understanding it, talking to the customers and then building a vehicle to solve a very specific problem.
Curt Smith: Yes. Xavier, let me expand on that real quick. You asked what’s limiting your growth. I would say, we’ve -- the executive team here has been in this kind of situation before where we were bringing a product to market from just right out of the gate. We’re going into this with the expectation and with the -- and developing our supply chains, our various supply chains for this to support -- where we’re not limiting the growth where we don’t -- we’re not picking a smaller supply house that can only supply a certain quantity that all of a sudden stifles our growth going in year two, three, four, and five. So, that’s key here as we go through our supplier validation.
Rod Keller: And I think this is important, because I -- and I hope everyone on the call will listen to this, because as you look at -- you look at companies that aspire to be a large supplier of fleets to large companies, vehicle is actually just one small piece of it. Because imagine if you’re the decision maker at Subway, for example, and you show up with a vehicle, the question you’re going to get asked is not just about the vehicle. It’s how do I store it? How do I charge it? How do I finance it? How do I maintain it? How do I repair it in the field? How do I insure it? And then, how do I dispose-off it at the end of life? And the only way that you can do those is you need partners like we’ve been fortunate to have with Element to build an ecosystem like that. And if you don’t build that ecosystem with that capability, you’re not going to sell tens of thousands of vehicles. You cannot scale. And that’s why we were so excited when we announced our relationship with Element earlier this morning.
Operator: And Mr. Keller, I see that that was the last question. I see that someone actually has just joined. If there is time for another question?
Rod Keller: Sure.
Operator: We have a question from Venkat Jay, [ph] a retail investor. Please go ahead.
Unidentified Analyst: Well, I hear this, the recent times, the EV Show, which is happening in Georgia and Florida and California, on what is the expected like the agreements with the federal government in terms of the COVID vaccine EVV? Like the contract -- when we can expect the contract is going to be happened? And I see, there is a lot of volatility for the stock and it seems to be short sellers [indiscernible] for the AYRO. Well, can you elaborate when we can expect that federal contract, with the state, for the EVV? 
Rod Keller: Yes. I wish I had an answer to that. And I’m probably as impatient as anyone is. But remember, our press release announcing this was March the 8th, so about three weeks ago. We showed it for the very first time on Tuesday, March the 9th in Atlanta. And we showed it to -- we have showed it in Atlanta, in Orlando, in Dallas, we were in San Jose yesterday, and we will be in Orange County, California, and Irvine the next two days. And as you might expect, the sales cycle, when you’re dealing with governments, is much longer than it would be, obviously with consumers would be the fastest. So, I don’t expect that when we contract a sale here, it will be for one or two vehicles. It will likely be larger than that. I can’t speak to that yet. But, again, it’s only been out for three weeks, and we’ve showed it to -- I guess this will be our sixth city, we’re going to be in Boston next week. So, I don’t have an answer. I’m optimistic. I think, the timing is right for this. There’s a need for it. We are doing something in Austin on the 24th with the local government working with one of the Austin public health. But, in terms of orders, it’s a little premature to say exactly what we will see. I also think it’s important to note though, in working with Gallery Carts, one of the other silver linings of COVID is, as you might expect, universities are faced with the challenge of how do I get food and beverage to my students without forcing them in the dining halls. And we’re very fortunate to have the relationship with Gallery Carts, who is one of the preeminent or the preeminent supplier of what I’ll call, mobile hospitality solutions for universities and both college and professional sports stadiums. And what they’re able to do is through a number of large food and beverage providers, some of the companies you’ve probably heard of Sodexo, Chartwells, Aramark all have large contracts. They’re able to strategically position these food or mobile hospitality vehicles, if you will, strategic places around a campus. So, when students come out, they can grab and go hot and cold beverages, coffee, pre-packaged sandwiches and deal with the pandemic that way, rather than forcing them in the dining halls. So, we’re beginning to see demand for that increase. And you’ll hear more about that in one of our future press releases. But, we’re very pleased with the relationship. They are also a Club Car dealer, but they’re much more than that. They’re the preeminent supplier of what I described, the mobile hospitality vehicles as well. So, my point being is, the EVV is not the only application for our vehicle in terms of delivery, but foodservice delivery is very significant as well. 
Unidentified Analyst: Just a follow-up question, Rod. Is there any proposal going on other then federal government project for the EVV, especially in vaccination?
Rod Keller: I’m sorry. Can you ask one more time? I didn’t hear the whole question.
Unidentified Analyst: Okay. So, in terms of the EVV vehicle, other than the feral government, is there any other private vendors planning to acquire the vehicles?
A - Rod Keller: Well, like I said, we’ve only showed it for the first was March 9th, which was three weeks ago, Tuesday, three weeks ago yesterday. But, we were showing it to local, state and federal as well, CDC obviously one of them, team is looking at it. And some of the feedback we’ve gotten so far is that it won’t -- the EVV is not the only application for this vehicle, because it could also be used for future applications within medical for local, state and federal too. But again, we’re just a little bit earlier. I wish we’d had more time. I think, if we looked 60, 90 days from now, we’d have a little more progress under our belt, but it’s just too early. It’s just been about three weeks.
Unidentified Analyst: Okay. Thank you very much, Rod. And one last question. So, can we expect any new models from AYRO going forward quarter, next quarter?
Rod Keller: I can tell you this, we exclusively sell our light-duty electric trucks through Club Car. And we are working on a next generation vehicle with Club Car. And what I can tell you is a Club Car, it has a schedule to announce that vehicle in the second quarter. And I don’t want to steal their thunder, so to speak, but let them announce it when they’re ready. But the expectation is they’re going to announce in Q2. And as I mentioned, we’re working on what I think will be a very disruptive industry changing vehicle for a restaurant delivery and last-mile delivery. But, we will announce that vehicle later this year, and it will be in production in early 2022.
Unidentified Analyst: All right. Sounds good. And one question. So, can we expect the AYRO share price can hit $20 coming 2022?
Rod Keller: I wish I had a crystal ball. I’d like to think so, but I’m not going to try to forecast that. I know this much and it’s worked well for me most of my career. If we execute our strategy, we do the right things and we leverage our competencies and build sustainable advantages, we can achieve anything. So, whatever that price is, that will be dictated by what value people see with voting with our stock and buying our products. And with that, I think I’ll just trust that that’s worked well for 40 years and I expect it will continue to work.
Unidentified Analyst: All right. Sounds good. Thank you very much.
Operator: And I’d like to turn the call back over to Mr. Keller for any closing remarks, please.
Rod Keller: All right. Thank you, Andrew. I’d like to thank all of you for your interest in AYRO and participating on our call today. We look forward to sharing our progress on our next quarterly conference call. One of the things we do now is we issue a monthly newsletter and it’s -- we’ve only done it for the last couple of months. I encourage you to follow that because it’ll provide you some of the insights we have on what we’re doing and what we think is unique and disruptive in the market. And I think we’re leading in that space right now. I realize many of you would like to see higher revenues, so would we, but I expect that we will. But, that’s as we execute. And we’re very fortunate to raise the money that we raised since last June. So again, I think we’re very, very well capitalized. We’re heads down focusing on this. The relation we’ve got with Club Car couldn’t be better right now. And I think there’s more good things to come. So, with that, thank you again for your interest in us. And I hope you have a wonderful day.
Operator: The conference has now concluded. Thank you for attending. You may now disconnect your line.